Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Barrick Gold Second Quarter 2007 Results Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. (Operator Instructions) As a reminder, this conference is being recorded Thursday, August 2, 2007. I would now like to turn the conference over to Deni Nicoski. Please go ahead, sir.
Deni Nicoski: Thank you, operator. Good morning and thank you for joining us today. I'm joined here today by Peter Kinver, Jamie Sokalsky, Alex Davidson and Patrick Garver. Greg Wilkins is joining us remotely. So we will review the second quarter results and the highlights, and Peter Kinver will provide an update on our operations and the status of their project pipeline. Alex Davidson will also give you an update on exploration activities for the quarter and then we'll open up for questions. Before we begin, I'll bring to your attention that we will be making forward-looking statements during the course of this presentation. For a complete discussion of the risks, uncertainties, and factors which may lead to our actual financial results and performance being different from the estimates contained in our forward-looking statements, please refer to our year-end report or our most recent AIF filing. With that, I will hand you over to Greg Wilkins, President and CEO of Barrick.
Greg Wilkins: Well thank you, Deni and good morning everyone. And once again, thank you for joining us on this glorious summer day. For those of you who are regular participants, you will note that we don’t have Jim on the call this morning and Deni is taking over. Jim, in fact, has moved to become the VP, Treasury for Barrick and gone back to his (inaudible) and Deni who has been with the company now since about 1998 has moved over from Corporate Development. Deni has worked in Australia, the US, Canada and, as I said most recently, in corporate developments. So, very knowledgeable about the company, very knowledgeable about the industry, and I think that you will enjoy very much working with Deni as we go forward. We had a really good quarter. It really demonstrated our ability to produce significant earnings, and cash flow numbers in this robust gold environment. Particularly now that the operations are completely un-hedged, the leverage has been somewhat elusive in the industry as there has been a lot of cost pressure and we have put an enormous amount of effort company-wide under Peter’s leadership to control costs. And I think we have been innovative in many respects in how we managed those costs, and with the dehedging and costs control we've really been able to drive margins and we look forward to that going forward. We remain on track for our full-year production and cost guidance for both gold and copper. We are really delighted that our Board gave us approval to proceed with construction at Buzwagi, and so this is the sixth mine in the last few years and that’s really cookie-cutter to Tulawaka, which has been slow but very, very successful and we are fortunate to be able to transfer over that development team. So I have confidence in being able to get that done on time and on budget; it will produce about 250,000 to 260,000 ounces annually and the cost will be very attractive in the 270 to 280 range, which is consistent with the outlook that we gave to the investment community back in February and so again we are pleased that now we have been able to maintain those estimates. Peter will talk a little bit more about that. In fact we've already kind of got underway on the project. So we are really looking forward to bringing that stream in a relatively quick timeline. At Pueblo Viejo we continue to work in optimizing the plan; of course we have the EIA already approved and we are going to maintain the profile in the EIAs, so that we can continue to go forward. We've been having very productive dialogue with the Government of the Dominican Republic regarding power and water treatment and relocation plan and other elements. But perhaps what's been even more exciting is we've had some excellent drawing results, which Alex will share with you. In fact I think it characterizes it as new ore body in what's actually a discovery. At Pascua-Lama we continued to work forward. There the principal focus has been on permitting and we’ve been having very good support from the province and the Governor’s office and his team on the sectoral permits. But I remain somewhat cautious about progress on the Federal side, where we’ve had agreement for some time with respect to trans-border issues, and we just have not been able to bring those agreements to signature and we are not prepared to move forward with a major construction project of this magnitude until we have all of our i's dotted and the t's crossed. We’ve been very consistent about that from the beginning and while we just don’t have control over what the government wants to do, the signals we are getting and what we are hearing from the government are all very positive. So we are optimistic, but again we need to see the signatures on paper before we actually make that final construction decision. And of course, we continue to have a very positive and buoyant outlook for gold and I would share with you that we’ve actually been digging in quite deeply on the supply side of the business. It's actually, it’s a hobby from our point of view that we would want to know what’s going on in the market in terms of new developments, discoveries, status on projects, where people are going, what they are doing. And we’ve actually been working with one of the research firms in the industry and have been taking in the acquired data base and then applying our own analysis. And I must say that we do see some reason for optimism on gold price relative to what the supply side response is able to achieve and so it really undermines our confidence, combined with all of the other factors that relate to the gold market and on the demand side, but on the supply side it continues to be a challenge for the industry. And we are very pleased to be positioned the way we are, with the project pipeline that we have in the exploration potential, and Alex will share some of that. In fact, the quarter was quite positive with respect to some of that drilling activity. So, with that I am going to ask Jamie to go through the financial results with you and as Deni mentioned, Peter is going to review the operations, Alex will give you the sizzle and I will take a minute to wrap up, and then we will open it up for questions.
Jamie Sokalsky: Thanks Greg. Our production for the quarter was approximately 2 million ounces, at cash costs of $345 per ounce. And our copper production came in at 101 million pounds with $0.77 per pound, both solid performances. Our earnings of $396 million or $0.46 a share reflected $66 million after tax impact as a result of delivering the final 500, 000 ounces into our corporate gold sales contracts. As of May 1st now, we have been delivering into spot prices and will go in forward. Excluding the impact of the elimination of those corporate gold sales contracts, the adjusted earnings were $462 million or $0.54 per share. Operating cash flow was a little lower at $336 million or $0.39 a share for really two main reasons, that the operating cash flow was also impacted by the elimination of corporate gold sales contracts, but also by the timing of a number of tax payments for the current and prior year periods. Those tax payments were in the neighborhood of about $200 million or about $0.25 per share. Adjusted EBITDA was $812 million or $0.94 per share. That compares with the prior year adjusted EBITDA of $758 million or $0.88 a share. That's an increase of about 7%. I think the strength of the EBITDA numbers for the quarter really highlights the strength of the company's underlying earnings and cash generation potential. Our earnings result in the second quarter was driven by strong margins. The realized price of 624, our cash margin was $279 per ounce, or 45% of sales. And while we eliminated the bulk of the corporate gold sales contracts in quarter one, as I mentioned, we still had a residual after tax charge of $66 million to the remaining delivery over the 500,000 ounces that we had eliminated. And so with those contracts behind us now, it’s worth noting what the margin would have been had we received spot prices for the full six-month period, a $329 per ounce margin or 50% of the spot price of $658 per ounce. And with our operating mine now being 100% unhedged and with our strong focus on containing costs, we are poised to capture these higher margins in this gold price environment going forward. I will now turn it over to Peter to discuss the second quarter operational highlights.
Peter Kinver: Thanks Jamie. A core component for our business is safety, and I am really pleased to say that year-on-year we’ve seen a big improvement in our safety numbers, and our total reportable injury frequency rate has dropped to 1.47. In addition to this, one of our visions is that all our employees and contractors go home safely at the end of every day, and I am very pleased to announce that that has been the case this year. Turning to the results, Q2 was a very solid quarter characterized by some pleasing results in North America and South America, particularly at Gold Strike and Lagunas Norte. Lagunas produced 285,000 ounces at a cash cost of $91 an ounce, which is outstanding numbers for this low cost operation. Gold Strike produced about 445,000 ounces at $352 as we have accessed high grades of pits and as a result a better recoveries at the [older sites]. Gold Strike still has about 60 million ounce of reserves and continues to deliver the goods. One of the key benefits of the [deep-hole] type of operations is that we are in a strong position to take those pluses and absorbs the minuses. In the quarter, some of the minuses which are generally associated with disruptions in the Australia, Pacific and the African operations including ground movement at the Kanowna mine in Australia together with storm damage which caused power interruptions at Porgera mine. And the lingering effects of very heavy rainfall that was experienced late in 2006 and times again at Porgera, consistent second half in Porgera following the resolution of these power issues. Porgera is a quality long life asset that has potential to deliver significantly higher production with significantly the lower cash cost numbers. If we continue to optimize this operation and address the social issues associated with working in Papua New Guinea. In Australia we have not been immune to the challenges impacting old resource companies. Currently there’s the lowest unemployment level in Australia, which we've seen for a long time and there are currently shortages of qualified labor and this has contributed to a slower than expected ramp up in the underground operations of the Granny Smith mine. The other challenge posed by the regions has been the strength of the Australian dollar. Australian dollar tracked around to about U.S. $0.75 for most part of 2006 and is currently at about U.S. $0.85., and this has increased the cost for our region by about $29 per ounce compared to 2006, even though we were largely covered to the Australian dollar exposure. For the remainder of 2007 Australian FX exposure is now fully covered protecting us from any further Australian dollar strength in the second half of the year. I am also expecting that by the second half from the North Mara line, Tanzania where recent delivery of new equipments has just arrived and this will allow us to accelerate the mining rates and access high grade ore by the last quarter of the year. Longer-term this operation will benefit from the lower power cost associated with the partnership that we formed with the Tanzanian government to bring cheaper hydroelectric power supply to the more remote Mara region where the North Mara is located. Power is obviously very important to our business and we are pursuing innovative solutions in a number of our operating regions. In the quarter we also announced we've submitted a proposal to build a 20 megawatt state-of-the-art wind farm at Punta, Colorado. We've also recently been granted approval to build a 1-megawatt solar photovoltaic system next to our Western 102 power plant at Nevada. These projects also have the benefit of being environmentally sound. Turning to project pipeline we’ve reached, as Greg mentioned, the Board decision to proceed with the Buzwagi mine. Detailed engineering is proceeding and in fact we are in a position -- we have actually placed orders for some of the equipments to get a good head start on these projects. We’ve also had the mid-year reserve sites and the early indications are that we should see a significant increase in Buzwagi reserves at year-end, which will extend the life of these assets for a number of years. This will be a significant mine in one of our core districts that would be in production at 2009. At Pueblo Viejo excellent progress was made during the quarter at the mine including an exploration which Alex will talk about shortly. Work is in progress with two service providers who develop the zinc and the nickel-cobalt recovery process to conceptual levels. You may recall this project on a 100% basis has about 2.6 billion pounds of zinc contained in the 18.1 million ounces of gold reserves. The extraction of the nickel cobalt from the ore has also recently presented itself as an intriguing possibility that is being investigated. Long-term power options are being assessed, including potential power lines without seeing alternatives. Our Pascua-Lama, as Greg mentioned, we continued towards finalizing cross-border agreements with Pascua-Lama project and engineering efforts continue in support of securing key sectoral permits. In addition to the proposal to build a 20 megawatt wind farm in Chile, we have received environmental approval for a 34-megawatt power plant. However, as Greg mentioned, material construction efforts will not start until all the cross-border agreements and sectoral permits have been finalized. In summary, the project teams continue to make significant progress in advancing our extensive project pipeline, but we’ll continue to keep you up-to-date on these efforts on an ongoing basis. I would now like to turn to Alex to talk about exploration.
Alex Davidson: Thanks, Peter, and good morning everybody. As lot of you would expect, our exploration programs are well underway in all of our regions, and busily churning out results. The programs this year, as you know, are focused on adding or upgrading resources right around or near our existing operations. But we are also still doing a lot of early stage exploration programs in the regions, as well as, in new emerging areas to generate quality projects for the future. Just on the forecast update, for the budget for the year, the current forecast is about $185 million per $15 million increase from the approved budgets. And we have increased our spend largely as a result of a positive results in a number of projects, and I will highlight just a few of them today. Projects such as Cortez, Cortez hills, Pueblo Viejo, Golden Ridge in Tanzania, Zaldivar and [Siero] in like the Veladero area, the Red Hills and RBM in Nevada, and also Reko Diq have had their budgets increased as a result of other results new programs and their discoveries. So let me turn first to Cortez hills. We’ve got about the 28 rigs in operation in Nevada and about a dozen of those are on the Cortez property. Jim will update you with results of drilling hopefully later in the year. At Cortez the drill programs are under way, testing many targets such as our GAAP Gold Acres and at Cortez Hills. At the Cortez Hill, Lagunas Norte, which is the slide you are looking at, the infield and extension drilling program is about 70% complete. Results continue to be positive and the lower zone remains open to the northwest and to the south. A couple of months ago we were worried that the lower zone of this region might be cut off by a northeast surplus fault at the south end of this section, but drilling in the last month or so have been organized to pick up this again on the south side of the fall. So, again we are wide open to the south and interestingly the zone goes from south side in the north or shallow end of the zone to off side at depth. The zones have are 1400 feet deep at the north end and down the south end has got 2800 feet. And we will also open towards the west side of the north end. So the section you are looking at is showing some infill results including 179 feet of 0.6 outside, 143 of 6.6 some16 feet of high grade of 1.4 ounces per ton, and so on. We are also planning because we’ll have to get down there, and we decided more tightly 14,500 foot underground drill program to commence during Q4, and it’s going to be carried out from the access declines that are now being driven to access Cortez Hills. I will turn now to Pueblo Viejo in the Dominican Republic, and the 2007 program continues to find additional mineralization that’s been quite successful. We have recently completed programs that invest more and they were still drilling in Monte Oculto. Our West Moore, the 17,000 meter drill program, is also positive and maybe pulling that pit to the west and are being evaluated at the moment. There’s a unique story here with respect to Monte Oculto. After Pueblo Viejo was acquired from Placer Dome, our unified geological model for the project was developed by our exploration team. Really taking Barrick’s extensive experience in high-sulphidation deposits such as the Pascua and Pierina and Lagunas Norte and applying it here and this took quite a few months last year to do. Drilling based on the development of this new stratigraphic structure model has now resulted in this discovery of what we are calling Monte Oculto. Oculto which means hidden, is a new blind deposit located in basically a preserved down drop structure block between the Monte Negro and the Moore bodies and you can see this in the section on the next slide. It’s deeper and does not appear to connect at all with the Monte Negro ore body or for that matter more to itself. And that is really amazing that when you consider the history of this property, which goes back 30, 40 years, that a new ore body can be discovered on the property after so many years of mining and exploration. From Monte Oculto, so far we've got 20 holes into it over an area of about 500 meters by 300 meters, still open at least on the east side as you can see and intercepts generally range from a low 40 to 80 meters thick with grades between 2 grams to 4 grams per ton and having an average grade of about 3, 3.1 grams per ton. We haven't done any metallurgy on it yet, but frankly this can’t be any more complicated than the other ore that we got it at PV. A follow-up program of about 11,000 meters is going to be conducted in Q3 to further define the geometry and extend to this mineralization with the objective of course of upgrading it to truer resource hopefully by year end and of finding it’s limits. So, well done, to the guys out there. Turning to Reko Diq in Pakistan, we are continuing on the resource drilled out of the Western Porphyries after that Tethyan Copper's Reko Diq project in Pakistan. As you remember Barrick is 50% owner of Tethyan Copper and Antofagasta is the other. Where we've got to address about 70,000 meter drill program going H15 and H14 which are the Western Porphyry shown in your slide there and just to refresh your memories, Snowden did a resource for Tethyan at the end of 2006, it’s round about 2.3 billion tons on the property for about 21 million ounces of gold and 27 billion pounds of copper and a 0.3% copper coolant cut off and of that 1.6 billion tons was in the Western Porphyries and of that about 950 billion tons was in H15 and the rest in H14. So far our program is focused exclusively on H15 and we’ve just finished a mid year resource on it on H15 and it looks like we’ve doubled that Snowden resource and our drilling goes down to about 600 meters and it’s open at 600 meters and mineralization still opens the depths. We are now moving our drilling program over the H14 that’s due to be completed by the end of this month, hopefully, and then we are going to be doing a completely new resource estimate for the combined H14 plus H15 at Western Porphyries by the end of the year. And recent drilling in H14 is indicating that this wide central porphyry core zone contains a central zone of copper and gold reserves that are higher than the average. But peak values in excess of 1% copper and 1 gm of gold. Mineralization in 14 as well as in 15 appears continuous and robust and it’s likely to have a positive impact on the overall grade of that Western Porphyry reserves. And a couple of results from drilling at H14 like 550 meters at 0.8 copper and 0.57 grams gold and 612 meters as of 0.6 copper and 0.45 grams gold. So nice pick, continuous runs, right from surface of both H14 and H15. Scoping study is in very active overt the last past number of months progressing on schedule, and the engineering studies are ongoing, and we hope to get that Scoping study completed by year end. And with that I’ll turn it back to Greg.
Greg Wilkins: Alex, thanks very much and I’ll just take one minute to wrap up and then we will open up for questions. We have been working very hard, as you know, we have been following Barrick to really position the company, to benefit from the strong gold prices, and build those four mines, and we clearly feel investments getting very significant returns, producing 285,000, for the $91 an ounce. Clearly those investments are generating very significant returns, really supporting the strategy that the company has been embarked on such, it’s really rewarding to see those kinds of results. We remain on track for our full year guidance that you have heard and we remain on track with respect to gold and copper. The second half costs are expected to be a little bit higher because of the mix of mining is since what we anticipated at the start of the year. We are including some additional voice dripping and gold strike in Veladero and perhaps some large grades that we are going to snorkel from some of the mine sequencing. So, third quarter costs are going to be high, will get better in the fourth quarter again, but fundamentally we remain on track for guidance and so we are very pleased with that performance, given the backdrop of the industry which continues to have inflationary pressures and significant challenges with respect to retention and recruiting of people, which I must say that while we have got little bit, and we are very pleased to effect results from that point of view. We’ve increased our guidance with respect to exploration expenses Alex has just described the good news there that is because its based on successful and I must say that this year seems to have been more positive in many respects than we’ve seen them in earlier years and with respect to some of the major new projects which is very encouraging. So you know we remained very positive about the out look for gold. As I mentioned at the outset of my remarks we’ve got I think supply side challenge for the industry which under (inaudible) is given very steady growth and on the demand side. We see really optic which is principle consumer of our production, while volatility I think makes it challenging for the jewelers and for the retailers to make money in this space. I thought actually the absolute level price that seems to have the impact. So we have had a step up in terms of price, definitely a news war that we are operating in his very strong resistance sort of below 650 gold. And it just feels like there is plenty of alternative to see some upside. So we remain very focus on conditioning the company and the benefit from those strong gold-priced environments. And of course our copper business remains very profitable and we have very good low cost operations, and while Alex can say anything about it in his comments to increasing our exploration expenditures, that’s Zaldivar because we do think there is some very interesting opportunities to expand that copper reserves. So, with that I am going to open it up for questions; Jim, perhaps you could pose the questions for us.
Operator: Thank you ladies and gentlemen. (Operators Instructions) One moment please for the first question. First question comes from the line of Victor Flores of HSBC. Please go ahead with your question.
Victor Flores: Yes thank you. Good morning I have a couple of questions on the project development side, first going to Pueblo Viejo it seems quite interesting that you discovered this news zone, which means potentially there are others there yet to be found and I am just trying to get a sense as to how much this discovery changes your thought processes as to developing Pueblo Viejo? You make it bigger than it is? Do you spend more time trying to figure up the metallurgy because you want to get as much of the metal as possible as you can? How much bigger does it have to get before you start thinking about changing the scope of the project or does it just make sense to carry on as you are and at some point in time later you do more drilling to identify this?
Jamie Sokalsky: This is Jamie jumping in and maybe Alex and Peter would like to comment, but we are going to keep the scope of the project as is for now and because that’s the basis of the environmental study that’s been done and we want to stand the timeline. What we are doing with these additional successes from the operation perspective and frankly from the metallurgical work that’s been done because of course if you recall in February, I talked about zinc potential and so on. We are going to consider that as a potential for safe expansion in the future, subject to permitting and so on, but the plan is just going to be altered enough that we will allow for in the footprint, the ability for that potential expansion and additional phasing. But we are not going to stop and to redefine it now. This just a sort of business that can be quite a trap, so we are going to go ahead if permitted to 18,000 in the project, and that’s what we will build and we look forward to being able to expand the subject to the permitting requirements in the future.
Victor Flores: Okay great thank you. The second question goes to Buzwagi. I seem to the recall on previous calls, I’ve pestered you guys a bit for some numbers with respect to Buzwagi in terms of the scripting ratio, perhaps some of the operating costs per ton numbers and then I think the answer was wait till we decide to go ahead and then we will give you the numbers. So I was hoping maybe now I could get some of those?
Jamie Sokalsky: Now Peter do you want to, do you have some number I understand?
Peter Kinver: I don’t have the numbers in front of me but I would need some -- so we can get Deni to send in those numbers?
Victor Flores: Great that’s perfect. And then just finally you mentioned the name from the past which was [Golden Ridge] and I was wondering if you have any other comments to make and what you think might happen with that project?
Jamie Sokalsky: It's one of the projects that we picked up in Tanzania a number of years ago. I guess we are looking at it again because of the increase in gold prices. It’s a fairly narrow zone that actually with this gold price environment may be amenable to an open pit and that’s really what we are looking at. A resource as I remember we are happily announced it or something like that. But that sort of the stages that right now, but I think refining and drilling program is in there at the moment.
Victor Flores: Great. Thank you very much.
Operator: The next question comes from the line of John Hill of Citigroup. Please proceed with your question.
John Hill: Thank you. Good morning everyone and congratulations on strong results, it's certainly great to see positive project news and also some of the sustainability moves I think are very important as well. We are just wondering obviously there is good news on the projects progress, however it never seems to be rapid cash is piling up very strongly or EBITDA as Jamie would say. Would you care to refresh us on your views about the best use of cash and distribution of cash be that dividends, buybacks or breaking down that project book?
Greg Wilkins: Hi John it’s Greg. Listen, we are very focused on first and foremost ensuring that we can build out the pipeline of projects without any equity dilution and I think secondly we continue to look for opportunities to improve the asset base and the quality of our assets and while there are always -- things that are out there that we continue to monitor from corporate development of perspective and so now with the sort of the second level. And the third level is looking at dividend increase, which we did do this year as you know, and then we do look at share buybacks and the Board is actively considering basically all four delays to increase the leverage that we have on to gold on a per share, and so all of those elements and best of one to generate that leverage so that as we do enjoy these strong gold market that we can really increase the value to our shareholders until it’s the best alternatives and we continued to be actively evaluating all of them.
John Hill: Great, thanks for that and then just switching over a little bit on Pascua-Lama and it just seems that the tenure of this course is shifted a little bit, previously was admin, administrative and sector all permits in Argentina now seemingly to extend to broader fiscal and cross broader issues. Is this something new and adverse that’s occurred or is it just a lack of progress on initiatives that you would hope for were already pretty much put to rest?
Greg Wilkins: It’s really the latter John, many of these issues the bi-national nature of it have been discussed for a long period of time and was appeared to be sort of general agreement between Chile and Argentina on these issues. The inner share with respect of signing in is really the same challenge that we had all year. I think I mentioned this on the last conferences call we mentioned in February at our investor presentation. It's a matter of getting governments to sit down and sign documents and we would hope that we have signatures we haven't got those signature yet, but we continue to be given positive signals from both sides. Chile is anxious to get underway, everybody is anxious for the investment and we just keep reminding everyone that's fine and we are ready to get going too, but we are not going to find ourselves pregnant with major expenditures until all the signatures are on the pieces of paper, because once you are into it your ability to have a decent negotiating position is certainly undermined and we need to have absolute clarity with respect to these fiscal issues before we are going to put that kind of investment in to that area. We have been very clear on that point with the appropriate government folks on both sides of the border and we tried to be very clear about that to investors. And we continue, as I say, to be encouraged it’s not that anything’s happened, it’s not that it’s the fact that nothing’s happened that really just reminding everybody out, but it is also coming to the time in which the construction season is available to us and if we can’t get this signed we are going to be eating into that construction schedule which will have an impact on the project.
John Hill: Alright. Great to see that sense of urgency. Thank you.
Operator: The next question comes from the line of John Bridges. Please proceed with your question.
John Bridges: Hi Greg, everybody. I just wonder, I would like to echo the other John's comments on the sustainability moves, and with respect to the supply numbers, I have seen numbers before in projecting some significant cut backs to supply over the next two-three year's. I just wondered what your research was showing?
Greg Wilkins: Jamie maybe you could help John with that.
Jamie Sokalasky: Sure Greg. While we are still doing quite a bit of work, and you can imagine that there is also a lot of cremation in terms of existing mines and new projects -- but our initial, I guess, analysis shows that the supply side is likely to drop a lot quicker and more than most in the market are anticipating. And it is still too early to really talk about any specific numbers, but it’s more than the broad market things, and that should be a lot more positive to the gold prices as Greg was mentioning.
John Bridges: The idea is to do orders of magnitude?
Greg Wilkins: Well, I think we are probably seeing orders of magnitude that there are in the 10% to 15% drop in terms of a little bit of next 5 to 7 years. Again, we still have to do a lot more work but that’s kind of the order of magnitude in terms of overall mine supply drop.
John Bridges: Okay. Great. And then if I may follow-up for Pete, the issue with the Nevada, Cowl and I am just a bit surprised that you are modifying that mill only shortly after you commissioned it. What has created that situation?
Jamie Sokalsky: Well it is not a serious issue. The ore is basically more solicious as we go through the off- side zone we have gone into a -- the expected solicious zone and the modification is just a minor modification. It is not a major change, but I am pleased to say that the throughput, I am prompting from our numbers here, but the throughput is actually above plan at the moment, and the recovery is already in line with plan. And we did have a water issue there some time ago. We were still running very tight on water. We seem to have solved that problem, so calices would be going quite well, John.
John Bridges: But what did you do to the mill to make it work with -- is it a type of pressure thing or what --?
Jamie Sokalsky: Where the line is, for example, when line is where new liners take some time to wear down to get the ultimate product, now what we do now is put liners in which are close to that optimum profile and they take more ore. So there is not really a major issue.
John Bridges: Okay. Thanks a lot. Good luck, guys.
Greg Wilkins: Thanks.
Operator: The next question comes from the line of Mark Smith.
Mark Smith: I have just a couple of quick questions. First a housekeeping issue. In addition to the one-time gold sales church of $0.08, do you know the approximate range you had net gains of $0.05 on other unusual items?
Greg Wilkins: About $0.03, Mark.
Mark Smith: $0.03?
Greg Wilkins: Yeah.
Mark Smith: Okay. And just following up on the 2007 guidance, really just on the copper side, averaging $0.79 year-to-date with $0.90 forecast for the rest of the year? Are we really looking for a 20% increase in cost in the second half, all the way?
Jamie Sokalsky: Mark, it’s Jamie. In essence we are just sticking with the guidance that we have. We are hopeful that we will able to do better than that, but we are just reaffirming the guidance, and as you say, we have had a very strong first half performance, and we are optimistic that we will be able to do well in the second half as well.
Mark Smith: Okay. And just perhaps - before I ask my final question, if I can ask to have those Buzwagi numbers come to me as well?
Greg Wilkins: Right, in fact, why don’t -- we’ll go back and know Mark about with Deni about where we can maybe put something up on the website, so it’s generally available for folks. I am just going out to top my head, I am sure that Deni and Peter are probably cringing in their seats back in Toronto, but let’s work something out so that we make sure that everybody has the information they need on that project.
Mark Smith: Alright. Great. I just wanted to just -- go to Donlin Creek, briefly and just where things stand right now, and one of the timelines that you have to fulfill and one of the commitments under the terms of the existing agreement that you have to fulfill by November or in terms of to retain your 70% interest?
Jamie Sokalsky: Pat perhaps you would just share that with Mark.
Patrick Garver: Sure Mark, I'd be happy to. Under the terms of the joint venture agreement for Donlin Creek, we are obligated to -- in order to increase our interest from 30% to 70% -- to deliver a feasibility study by some time in the second week of November. That and then to make a decision at Board level whether or not to proceed with the development of projects and if were to do those, then we would have earned our interest to 70%. As you guys noticed from the press release the feasibility study continues at pace and we expect to have a complete feasibility study by the date in question. And what I’d like to mention, that during the quarter the litigation that had been filed by NovaGold with respect to the question as to whether we could beat those dates was dismissed by the federal court in Alaska and we again expect they will complete the feasibility study, then we'll address the question of whether or not we can proceed.
Mark Smith: No, I just need to fill that last part ergo more than, so the Board decision has to be made by when?
Patrick Garver: That cut-off date in the agreement, I think it’s five year from the date of the agreement, which if my recollection is correct it’s like the 11th or 12th of November.
Mark Smith: Alright. So you have to have the Board decision by the 11th of November. Now let’s just say for example, I just want to understand the terms. Let’s say the feasibility study shows the project to be sub-economic. Are you still required to make a positive production decision in order to retain your 70%?
Jamie Sokalsky: I guess I would prefer not to speculate about what happened under what the different circumstances were in the way and to have the feasibility study is complete. We expect that it will be complete in advance of that date and then we will consider what the appropriate decision is.
Mark Smith: Well no, I am not really interested in the speculation. I just want to know under the terms of your agreement, if that were not the case with that [BDO].
Jamie Sokalsky: We are obliged to take a decision with respect to the license, at least this is my recollection of the terms, to take a decision by the 12th with respect to whether or not we intend to proceed with the project.
Greg Wilkins: Mark, let me just add. This is Greg. If the feasibility study demonstrated that it was not an economic project or not a decent project from the risk adjustment point of view, I wouldn’t take it to the Board and ask them to make a positive decision to preserve a 70% interest.
Mark Smith: Okay.
Greg Wilkins: Frankly, if the co-project isn’t economic I’ll not spend any more money on it, and 30% of an uneconomic project is better than 70% of an uneconomic project. We don’t know what the feasibility study is going to tell us, but just from a capital discipline point of view, I mean we are not going to go chasing something that doesn’t make economic sense.
Mark Smith: Okay, good enough, I got a very good answer. Thank you very much guys.
Operator: The next question comes from the line of Barry Cooper of CIBC. Please proceed with your question.
Barry Cooper: Yes good day. A few questions probably for Alex. Alex I am assuming this Monte Oculto zone, that you have found that. Does that have somewhere silver and zinc associated with it as you have in the open pit portion?
Alex Davidson: Yeah I think so, Barry. As metallurgy hasn't been done yet, and I haven't seen the silver and zinc assays, but I am assuming that they do.
Barry Cooper: Alright, okay. And then on Tulawaka you are going underground. What I recall of that is that the vein was fairly -- continues down a bit across obviously at a -- not a great angle for open pitting and that’s why you are going underground, but I didn’t think it stopped. Have you discipline the limits to the vein at depth?
Greg Wilkins: Barry I am not sure. I think we probably have but I am not sure. I have to check on it.
Peter Kinver: It's Peter, we have drilled down that what Alex said, it’s if it does extend it’s not going to be huge, it’s pretty skinny, it’s pretty narrow but it has extended a last of mine by sometime so it is positive.
Barry Cooper: What kind of CapEx numbers are you looking at for building that, the underground portion?
Peter Kinver: I cannot remember but it’s less than 10 million. I can’t remember the number, Barry.
Barry Cooper: Alright, it's okay. Around in for a barrack. And then finally on Donlin there, the 80,000 meters is growing, is that basically the stuff that’s going into the feasibility or is this new exploration area that you are looking at?
Alex Davidson: It’s Donlin and still drilling, Barry. There might me some extension in drilling in that as well, but is Donlin and still.
Barry Cooper: Okay, so there's a lot be done in time to get into the feasibility?
Alex Davidson: Yeah.
Barry Cooper: Yeah, okay. Good luck and thanks. That’s all I have.
Operator: The next question comes from the line of Christian [Lamorte] of CDP Capital. Please go ahead with your question.
Steven Kibsey: Hi, it's Steven Kibsey. I was just wondering how many rigs you have on D at this point and I was just wondering what the status of that project is and how that’s going to be? Can you give us a few comments about the D project?
Alex Davidson: Yes, Steve this is Alex. The resource infield drilling is complete in and around the pit there, but we are still waiting for assays and for the time being maybe we have stopped drilling, so on that you are right now. Actually we will be doing some exploration and condemnation drilling as we go forward on that and we hope to complete the feasibility study by Q1 '08.
Steven Kibsey: Thank you very much.
Alex Davidson: You're welcome.
Operator: And the next question comes from the line of John Tumazos of John Tumazos Independent Research.
John Tumazos: Congratulations on all the great results. Looking back at the acquisition of Placer Dome which with Pueblo Viejo is also -- in particular looks better and better and better. And on NovaGold account how smooth and quick is the process for acquiring medium or big-sized gold producers which with the compression and the valuation of gold stocks with the ETFs or other issues certainly suggests there is opportunity and clearly you guys run gold mines better than some other people. How quickly can you do deals or are you comfortable now that you digest the class or how long does it take at first?
Greg Wilkins: Yes, John it’s Greg. The last time I got that question, it's sort of a send off some speculation about various corporate development activities. So to be clear the company is today in a position to able to handle transactions of size and we continue to evaluate the opportunities that exists in the marketplace. But we are going to be very selective and we are going to be very cautious about where we see value and where we see opportunity. And we are really focused on the quality of our portfolio and we are going to be anxious to really look at low-cost, long-life assets and obviously be balanced with respect to our geo-political profile. So as we look around the world we really are very focused on that and there are a lot of really great opportunities in a great price range that would say at this point in time. So, we continue to evaluate, we continue to look at it, we can have -- certainly do have the capacity last to integration is complete when very well we learned a lot of very good lessons from that and we get a lot of things very well out of the shoots. So, we have been able to absorb that quite seamlessly. Of course, I think that the Placer acquisition taught us a couple of lessons and I think probably that of equity we use, we would probably be considering using more cash, well I think the Placer assets are going to deliver great value there with certainly some expectation gaps between I think what the public information had with respect the public markets that and we had with respect to timing on many of the opportunities that ultimately will get sorted out. And if you recall there were some early disappointments about production guidance and that was really just how long it was going to take to bring a lot of new things in into production as opposed to long-term value of the assets. And so there is always a risk inherent in not having the opportunity to look under the covers and so I think that’s an area that we are very mindful of as well. So, in terms of capacity lots of opportunity, in terms of capital access to the excellent capital, in terms of opportunities out there at reasonable prices limited and we are going to just bear those lessons that was learned in mind as we look at our corporate development activities going forward.
John Tumazos: Thank you.
Greg Wilkins: Okay operator, I think we have time for one more.
Operator: We do. Our last question will be from the line of Tanya Jakusconek of National Bank Financial. Please go ahead with your question.
Tanya Jakusconek: Hi everyone. I actually have three questions. The first one is actually for Jamie. Jamie can you explain to me this net currency translation gains on deferred tax balances that showed up for about $39 million this quarter and is that going to continue going forward and is this why we reduced our tax rate from 30% to 27% for guidance?
Jamie Sokalasky: Sure Tanya. That amount really relates to currency that Canadian dollar appreciation on Canadian dollar denominated deferred tax balances that rose as a result of the asset of Dome acquisition. So as you know the Canadian dollar strengthened quite considerably and as a result that was the impact on that number. That is a factor overall in our tax rate, but the reduction in the guidance to about 27% really reflects quite a number of items and the deferred tax item is in there, but there are a lot of other positives that we are generating including some of the synergies that we continue to get from the Placer acquisition that resulted in that lower guidance on the tax rate.
Tanya Jakusconek: Okay thanks, I am just forecasting about it, I was going to forecasting all the Canadian dollars is going to do and then some of these deferred tax balances?
Jamie Sokalasky: Yeah that’s right, and the Canadian dollar increases a little more than we will see a little benefit and vice-versa.
Tanya Jakusconek: Okay, so it’s mainly Canadian dollar then?
Jamie Sokalasky: Yes it is.
Tanya Jakusconek: Nothing in Australia?
Jamie Sokalasky: No, it’s a small amount in Australia, but it’s really the Canadian dollar that’s the prime determinant of this.
Tanya Jakusconek: Okay, and then my second question is actually for Greg. Greg, I just wanted to ask about the corporate hedge book, given your positive outlook for the gold price and mine supply declining about 10% to 15% over the next five to seven years. What do we do with the corporate hedge book, do you have any inclination or maybe looking at that 9.5 million op position?
Greg Wilkins: Tanya, first of all I want to thank you for not asking me to answer the first question. But with the corporate hedge book, the philosophy of using the contracts to support projects financing remains a very good philosophy when you do projects financing [Bama] and to built projects in two to three years of construction phase having some protection of how to repay your debts. That’s the good. The problem with the book is the price, and so we are looking at where still we can do to perhaps get into the market, do a bit of training around the book and increase the price. But in terms of earlier deliveries or so the significant capital to close that right now. It would be, we consider it in terms of use of capital and because it's clearly one of the opportunities to use capital, but it probably ranks a little bit lower on our preferences at this stage.
Tanya Jakusconek: Okay, and so improving the prices just sort of picking up the contango?
Greg Wilkins: Jamie has got some couple of our views that might be able to do something with, but that -- a fair amount of time and there's always been some degree of market volatility and volatility always creates a bit of opportunities. So we are mindful -- I have to change the philosophy on using the book to support financing, but I think if we all saw that book was at 650 normally be same much about it. So it's about the price and that’s really the issue that we have to work on.
Tanya Jakusconek: And then the last one just for Peter. I just wanted to ask about the Cortez sales in the EIA. I guess we are handing that in at the end of the year and then we are looking at getting our permits to start. I think it was mid to '08, is that correct?
Peter Kinver: Yes, we are saying mid to '08, it's correct.
Tanya Jakusconek: Can I ask in terms of the permitting environment now in Nevada, and is water still a big issue?
Greg Wilkins: Well it was has been an issue and it continues to be an issue; we got a process, there is a lot of experience down there. And they tackle each issue that comes along.
Tanya Jakusconek: And now I am just wondering if the permitting environment is just taking so long and also offsets around the world?
Greg Wilkins: That could be healthy here. We have been actively in the permitting again in Nevada for and I don't really think that we have seen any deterioration in the permitting environment and in fact I think it’s in some respect gotten better over time. And Peter is right, water is something that we have to pay a lot of attention to, but we get good people on the case and we feel pretty confident with our projection at this point.
Tanya Jakusconek: Okay, sounds good. Thank you very much.
Greg Wilkins: Danny, are there any other questions?
Operator: That’s it Greg.
Greg Wilkins: Thank you for spending an hour with us and we look forward to catching up with you again if not soon, well certainly at our third quarter conferences call at the end of the October. Thanks again everyone.
Operator: Ladies and gentlemen that does conclude the call.